Operator: Good day, everyone and welcome to eBay’s fourth quarter 2007 earnings results conference call. Today’s call is being recorded. With us today from the company is the President and Chief Executive Officer, Ms. Meg Whitman; the future CEO, Mr. John Donahoe; the Chief Financial Officer, Mr. Bob Swan; and the Vice President of Investor Relations, Mr. Mark Rowen. And now, at this time, I would like to turn the call over to Mr. Mark Rowen. Please go ahead, sir.
Mark Rowen: Thank you, operator. Good afternoon, everyone. Thank you for joining us and welcome to eBay’s earning release conference call for the fourth quarter and full year 2007. Joining me today on the call are Meg Whitman, our President and Chief Executive Officer; John Donahoe, our future CEO; and Bob Swan, our Chief Financial Officer. We’re providing a slide presentation to accompany Bob’s commentary during the call. This conference call is also being broadcast on the Internet and both the presentation and call are available through the Investor Relation section of the eBay website at investor.eBay.com. Before we begin, I’d like to remind you that during the course of this conference call we may discuss some non-GAAP measures in talking about our company’s performance. You can find a reconciliation of those measures to the nearest comparable GAAP measures in the slide presentation accompanying the call. In addition, management may make forward-looking statements regarding matters that may involve risk and uncertainty, including those relating to the company’s ability to grow its businesses, user base, and user activity. Our actual results may differ materially from those discussed in this call for a variety of reasons, including our increasing need to grow revenues from existing users in established markets; an increasingly competitive environment for our businesses; the complexity of managing a growing company with a broad range of businesses; regulatory tax, as well as IP and other litigation risks, including risks specific to PayPal and the financial industry and risks specific to Skype’s technology and to the VOIP industry; our need to upgrade our technology and customer service infrastructure to accommodate growth at reasonable costs while adding new features and maintaining site stability; foreign exchange rate fluctuations; changes in political, business and economic conditions and the impact and integration of recent and future acquisitions. You can find more information about factors that could affect our results in our annual report on Form 10-K and our quarterly reports on Form 10-Q. You should not unduly rely on any forward-looking statements and we assume no obligation to update them. Now, let me turn the call over to Meg.
Meg Whitman: Thanks, Mark. Welcome everyone to today’s conference call. In conjunction with announcing our quarterly and annual financial results, we also made another big announcement today. On March 31, 2008 I will step down as eBay’s President and CEO. Our current Head of eBay Marketplaces, John Donahoe, will succeed me in my role and will join the board. Rajiv Dutta, our current President of PayPal and former CFO for many years, will replace John as the President of Marketplaces and will also take a seat on our Board of Directors. I too will remain on eBay’s board. I’ve always believed that planning for succession and ensuring a seamless transition whenever I decided to leave my post was part of my role as President and CEO of this company. I’m very confident that we have successfully executed this with the new appointments of John and Rajiv. I was given a remarkable opportunity when Pierre Omidyar, eBay’s founder, eBay founder, asked me to join eBay in January of 1998 and I couldn’t be more in awe of what our employees and our community of users have achieved together. Working at eBay has exceeded all of my expectations and it is with great pride and a strong sense of accomplishment that I turn over the leadership of the company. Many of you know and I have repeatedly said that ten years was about the right amount of time for any CEO to stay at the helm of a company. Now that I have reached that milestone, I’ve decided that it’s time for eBay to have new leadership, a new perspective and a new vision. I’ve known John for many years and have believed for a long time that he would be the ideal person to succeed me at the right time. We have worked really closely over the last three years to get to this point and I’m enormously confident in John’s ability to steer eBay. He is a fantastic leader who connects with and inspires our employees and both his inside and outside eBay work experiences will serve our users around the world very well. Now let me talk about some of the highlights for the fourth quarter and the full year. I will then turn it over to John who will talk about what you can expect to see from the company in the future. Bob will then give you more context on the quarterly and annual results as well as our outlook for 2008. Driven by another successful online holiday shopping season for eBay and PayPal, in Q4 we generated record net revenue of $2.2 billion, a 27% increase over last year. The company also generated operating income of $755 million, a 31% year-over-year increase and EPS for the quarter was $0.45, representing a 45% increase over last year. We are very pleased by these very strong financial results. Let me quickly give you a few operating highlights for each of our three business units for the quarter, starting with Marketplaces. Revenue for our Marketplaces business unit was $1.5 billion, up 21% from the fourth quarter of 2006. Based on unique visits, eBay was again the number one ecommerce site in the US, Germany and the UK according to Nielsen NetRatings. Nearly 80 million shoppers came to eBay to make their holiday purchases. In the quarter, eBay around the world drove more than $16 billion of GMV and saw record volumes of traffic, number of listings and velocity of trade. We are clearly the online leader when it comes to delivering value and selection to millions of online shoppers. Our PayPal business delivered another excellent quarter. PayPal now represents nearly 8% of all global online transactions and is the ecommerce leader in payments. For the first time since PayPal was acquired by eBay in 2002, PayPal has delivered three consecutive quarters of accelerating revenue growth. Our remarkable merchant services business continues to grow rapidly, attracting thousands of new customers and merchants each and every week. On the communications side, Skype had a strong quarter, delivering a total of $115 million in revenue up 76% year over year. We also reached a total of 276 million Skype users, while SkypeOut minutes also increased to 1.6 billion. Among the successes for the quarter, the Skype phone launched with Skype’s partner Three continues to sell briskly in the UK, Italy and Australia. Our recent deal with MySpace has already helped bring millions of new users to Skype. The fourth quarter capped off a strong 2007. For the full year, the company delivered revenues of $7.7 billion which represents 29% growth. We also delivered more than $2.5 billion in non-GAAP operating income and closed out the year with $5 billion in cash and investments even as we repurchased $1.5 billion worth of eBay shares. EPS grew 46% while operating margins remained at 33%. It was clearly a record year for us financially. But it was also an important year for us strategically. In our eBay business we made substantial progress on meeting the growing expectations of buyers and sellers. In fact, we took a look at every aspect of the site from trust and safety to user flow to see where we could do better. We also tested various pricing strategies to learn what might work best for our sellers. But with all these efforts, we know we have a lot more work to do, particularly in our three biggest markets. John will talk in more detail about what we intend to do in 2008 to accelerate growth on eBay. Another strategic thrust for us during the year was to focus on growing some of our newer businesses. Our classifieds business, for example, continues to profitable and is growing rapidly. We are now the number one or number two C2C classifieds site in over 450 cities and in 20 countries. Our Dutch and English classified sites are on fire. Also worth noting is the steadily increasing popularity of our classifieds brand Kijiji here in the United States. This site has now more than 3 million monthly unique visitors and we are seeing very strong levels of user activity on the site. StubHub, our online tickets marketplace, ended a very successful 2007 on a high note having exited the year selling more than 5.5 million tickets to more 36,000 events. Last but not least, our advertising partnerships with Yahoo! and Google continue to deliver revenue that has exceeded our expectations. 2007 was the year PayPal was firmly established as the preeminent leader in online payments, both on eBay and off eBay. PayPal delivered a total of $1.9 billion in revenue this year and continues to impress with its strong growth rate, innovative product launches and expanding presence across the web. In short, PayPal is a gem of a business and we couldn’t be more pleased by its performance and trajectory in 2007. As for Skype, while we were disappointed in the writedown we announced in October, it’s important to remember that Skype is an extremely successful four-year-old. Skype ended 2007 with $382 million in revenue and 276 million users, up significantly from 2006. SkypeOut minutes reached 5.6 billion, up 38% from last year, another indicator of the strength of the Skype business. During the last two months of the year the new leadership team at Skype has done a fantastic job. Skype is exiting 2007 much stronger than it was even this summer, and the team is excited about the year ahead. I’m extremely proud of eBay’s performance in 2007, but more than that I’m very confident about our future. eBay has always been at the forefront of innovation. By listening to our users we pioneered almost every aspect of ecommerce and by continuing to listen to our users, I’m certain that eBay’s new management team will take eBay and our community to places we never dreamed we could go. With that let me turn it over to John, eBay’s next President and CEO.
John Donahoe: Thank you, Meg. Before I spend time talking to you about our future plans I want to take a minute to acknowledge Meg. What Meg has built is truly remarkable and deserves a bit of pause and reflection. When Meg joined eBay ten years ago, eBay was a small online auction site with only 30 employees and revenues of just $4 million. In September 1998, just six months after she joined eBay, she took the company public, resulting in a valuation of about $2 billion. Here we stand today a decade later and eBay is worth approximately $39 billion, employs 15,000 talented people and has an unrivaled portfolio of brands that generated $7.7 billion in revenue in 2007. Along the way, Meg has built outstanding relationships with our users, our investors, our employees and our partners. But I know that Meg is most proud of the fact that 1.3 million people use eBay to earn all or some of their livelihoods. This company has had an enormous social impact, a very positive impact that many people cherish. What I’m inheriting from Meg is a well-managed and well-positioned organization whose best days are ahead of it. I couldn’t be more excited about the opportunity to lead eBay and I’m grateful that Meg will remain on our board and has agreed to provide advice whenever I need it. Let me tell you why I think eBay’s best days are ahead. Most importantly, we have three tremendous businesses. eBay, of course, is the number one commerce platform in the world. eBay’s users traded nearly $60 billion of gross merchandise volume in 2007 and listed 637 million items in Q4 alone. While eBay is not growing as rapidly as I would like the brand, the traffic, and the work we did in 2007 positions us well and gives us strong advantages as we move into 2008. Then there’s PayPal. PayPal is a fabulous business. It’s growing fast and has the kind of accelerating momentum we love to see. The opportunities for PayPal are unlimited. Finally there’s Skype. When you reach 276 million users in just four years and achieve $382 million in revenue, you have a strong business. Skype is still a young company on a great trajectory that’s revolutionizing communications on the net. With these three great assets in place, eBay has a leg up on the future and our future is going to be all about delighting our customers and mining new areas of growth. Here is what you can expect. First, we’re going to get very aggressive about making eBay easier and safer to use. The net has evolved dramatically in recent years. Buyers have become accustomed to streamlined purchasing experiences that put a premium on speed, convenience and reliability. While we’ve made strides in these areas, I am clear that we need to do much more. We’ve taken a close hard look at the entire eBay buying and selling experience and we’re going to make breaks from the path where necessary to deliver the experience our users tell us they want. Watch for us to make some exciting announcements about feedback, new user protection programs, customer support and pricing over the next week. Second, I believe eBay’s next wave of growth is going to come from weaving the strengths of auctions with our fixed price in a uniquely eBay way. Auctions attract enormous value, selection and fun to eBay but for many sellers and buyers and for many products, auctions are just not the optimal format. So what we need to do is marry the value selection fun created by auctions with the convenience and opportunity inherent in fixed price. Only eBay can do this successfully and we believe this ability is a true competitive advantage. The potential here is already evident. Our global fixed price business already accounts for more than 40% of our GMV, a clear indication that our users are embracing this format. In fact, the growth of our fixed price business is out-stripping the growth of e-commerce so we’re confident that evolving to a balance of auctions and fixed price for eBay’s millions of buyers will accelerate growth in our business. We understand in order to capture this opportunity we need to aggressively change our product, our customer approach and our business model. Bob will talk in a minute about how we have architected our 2008 budget to give ourselves the freedom we need to act and win in our ongoing quest to revolutionize ecommerce. Third, PayPal is an incredible important part or our go-forward strategy. With 57 million active users, PayPal is the leader in online payments and we intent to extend that lead even further. We have more opportunities to make paying with PayPal on eBay easier and faster and the growth prospects for our early stage off-eBay merchants services businesses is stellar. I believe 2008 will be PayPal’s best year yet. This company has a fantastic portfolio businesses, a team of motivated employees and a passionate following of users. These are the building blocks for our future. My commitment is to build from these strengths and make the changes that are necessary in today’s competitive environment. I’m confident that we can accelerate eBay’s leadership position in the years to come and that’s why I truly believe that eBay’s best days lay ahead. Now, I will turn it over to Bob for a closer look at the numbers.
Bob Swan: Thanks, John. First let me both acknowledge and thank Meg for her accomplishments over the last ten years and the opportunity to work with her over the last 20 months or so. Secondly, I congratulate John on his new role. I would also like to reiterate John’s comment that eBay’s best days are ahead of us. As the competitive landscape intensifies and consumer expectations for online shopping experience increase, we have the leading position in ecommerce, online payments and online communications. By listening to our community of users, we will take the necessary actions to expand our leadership positions. Now, let me turn to the business at hand. First I’ll review our Q4 and full year ‘07 financial performance in some detail and then I’ll give you some color around our 2008 guidance. During my discussion I’ll reference our earnings via a presentation which accompanies the webcast. Overall we’re extremely pleased with our Q4 results. We generated strong top line growth, even stronger non-GAAP earnings growth and excellent free cash flow. Additionally, we purchased more then $300 million worth of eBay shares during the quarter. These results cap off a great finish to a very strong year for our company. In total, our combined businesses generated record net revenues of $2.2 billion, a 27% increase over last year. This was a milestone quarter for us as we achieved $2 billion in quarterly revenue for the first time ever. Organic revenue growth, excluding acquisitions and foreign exchange, was 18%. Growth was turbo-charged by PayPal and its merchant services business and by some of our non GMV businesses such as Shopping.com, advertising and classifieds where we continue to gain traction. Non-GAAP EPS was $0.45, a 45% increase from last year and $0.04 above the high end of our guidance range. The EPS growth was primarily driven by strong operational performance across most of our businesses. In addition, we also benefited from a weaker US dollar, a lower tax rate and a reduced share count when compared to last year. Operating margins came in at 34.6% in the quarter; 120 basis points higher than last year. We generated $665 million of free cash flow in the quarter an increase of 26% above last year’s level, primarily driven by earnings expansion. Now let’s take a closer look at our segment results for the quarter. Overall, our Marketplaces business segment achieved net revenues of $1.5 billion, an increase of 21% over a year ago. Global GMV was $16.2 billion in the quarter, a 12% increase. Now, let’s walk through some of the key operating metrics. eBay has 83 million active users at the end of December, up 7% over last year excluding China and Taiwan. New listings of 637 million in the quarter representing growth of 4% versus Q4 ‘06 and marking the first time in three quarters that listings have increased on a year-over-year basis. US GMV was $7.3 billion in the quarter, an increase of 8% year over year. International GMV grew by 16% year over year to $8.9 billion, accounting for 55% of global GMV. Excluding benefits from foreign exchange, international GMV grew by 8% and international listings growth was up 10%, again excluding China and Taiwan. In Europe, revenues in Germany and the UK grew in the mid-teens while France continues to grow at stronger rates, helped by successful category-specific pricing promos during the quarter. We’re also seeing positive early results from our best match relevant search in France which rolled out mid-quarter in certain categories. In Asia, GMV in Korea grew 33% year over year in the quarter, excluding vehicles where we no longer capture GMV due to a format shift. We’re pleased about our performance in Korea where we believe we’ve significantly narrowed the gap with our main competitor over the last three or four quarters and have gained significant share in the overall Korean ecommerce market in the process. Elsewhere in Asia we continue to experience robust growth in Australia and our cross-border trade out of Asia is becoming increasingly important for us as a company as well-priced merchandise from China and Hong Kong finds its way onto our US and European sites. In Q4, as in previous quarters, we continued to see a wide gap between year-over-year growth in listings and growth in Marketplaces revenue. The 8 point gap between listings at 4% and GMV growth at 12% is primarily explained by three factors: First, we no longer include listings from China and Taiwan; Second, our acquisition of StubHub in Q1 ‘07; and Third, benefits from foreign exchange. The 9-point gap between GMV and revenue is primarily driven by continued strength in our non-GMV businesses such as Shopping.com, classifieds and advertising, and the inclusion of StubHub which has a higher than average take rate. We continued to make great progress in diversifying our revenue streams in 2007, and we expect continued progress in 2008 and beyond. Both our advertising and classifieds businesses were in hyper growth mode this quarter, growing at 182% and 104% respectively. Shopping.com, our online comparison shopping business, continue on its strong growth trajectory with 26% growth over the prior year. In summary, our Marketplaces business posted a solid quarter with excellent financial results. However, the key operating metrics and resulting GMV growth in our Big Three eBay markets are still not where we want them to be so as John said, we’ll need to accelerate the pace of change in 2008. During 2008 we’ll focus on retaining the strength and our leadership position in ecommerce by taking bold steps to meet the expectations of our community in the areas of product innovation, trust and safety, end-to-end customer experience and pricing. We’ve made significant strides in ‘07 and we’ll double down on our efforts as we head into ‘08. We’re making a number of changes in ‘08 but one area which I know you have a lot of questions on is pricing. We spent a significant amount of time and effort over the past couple of quarters studying our fee structure in relation to the elasticity of supply and demand on our sites. We’ve learned a great deal from the pricing tests we ran in the back half of 2007 and we’ll announce specific changes to our seller community in the coming weeks. In essence, we believe that sellers will be willing to list more high quality inventory on eBay if we were to change the risk/reward ratio in their favor; namely by reducing upfront listing fees and increasing final value fees. We also believe that listings with gallery photos improve the buyer experience and increase the conversion of browsers to buyers. As a result, in the US we’ll make it more attractive for sellers to incorporate the gallery feature with their listings. All in all, we believe that these upcoming pricing changes will help deliver to sellers the best economics on the web, and thereby help stimulate velocity of trade on our largest marketplaces as buyers find the widest product selection at great low prices. As I said, we anticipate the pricing changes we plan to announce next week will shift some of the conversion rate risk from sellers to us and it is also likely to reduce our take rate modestly in 2008. However, we believe the modest take rate reduction will more than pay for itself over time as we stimulate long-term growth on our marketplaces. Now let’s turn to our payment’s business. PayPal posted another stellar quarter with total revenue coming in at $563 million, a 35% increase versus the same period last year. The strong growth rate is a reflection of the tremendous progress we’re making in our efforts to achieve ubiquity for PayPal on the web through increased penetration on eBay and an expanded global footprint beyond eBay. Net total payment volume in the quarter was $14 billion, an increase of 35% year over year, making a third straight quarter of accelerating growth. PPV grew by 30% in the US and 43% internationally. PayPal accounted for 12% of US and 8% of global ecommerce in the quarter. In terms of key operating metrics, PayPal had over 57 million active accounts in the quarter on a 12-month trailing basis, an increase of 16% over the same period last year. On the eBay platform, PayPal’s global net PPV grew by 17% year over year. PPV growth is fueled by increases in GMV coupled with an increase in the global penetration rate on eBay to 54% of addressable GMV, up from 51.6% last year. Beyond the eBay platform, PayPal’s Global Merchant Services business reported another phenomenal quarter, generating $6.1 billion of TPV, a 66% year-over-year growth and also marking our third straight quarter of acceleration. We continue to attract top online retailers to our platform and consumers increasingly turn to PayPal as a preferred way to pay on the web. PayPal’s Q4 transaction expense was 118 basis points and its transactions loss rate was 27 basis points this quarter as its segment margins improve sequentially. In summary, PayPal notched another great quarter and our Global Payments business continues to be one of the key pillars of our companywide growth strategy. Now let’s turn to our communications business. Skype posted total revenue of $150 million in the quarter an increase that’s 76% over last year while delivering a fourth consecutive quarter of segment profitability. Skype’s total register users grew to an impressive 276 million, representing an increase of 61% over last year. On key user metrics, Skype-to-Skype minutes where up 26% versus last year at 11.9 billion and SkypeOut minutes increase 10% versus last year at 1.6 billion. Now let me touch briefly on ink level operating expense and cash position before I discuss our 2008 guidance. We recorded $755 million of non-GAAP operating income up 31% on a year-over-year basis and non-GAAP net income of $611 million, up 42%. Sales and marketing improved 260 basis points from the year-ago period, product development was up 40 basis points and G&A was down 150 basis points. We ended the fourth quarter with more than $5 billion in cash, cash equivalents and investments, an increase of approximately $600 million from the end of last quarter and we utilized $312 million to repurchase approximately 9.2 million eBay shares. We have repurchased $3.2 billion worth of eBay shares since we launched our first repurchase program 18 months ago and today we announced that our board of directors authorized an additional $2 billion of shares repurchases. Coupled with the outstanding balance on our previous authorization, this gives us the flexibility to opportunistically purchase approximately $2.8 billion worth of eBay shares over time. The fourth quarter results capped off a strong year. Net revenues were up 29%, non-GAAP EPS was up 46% and free cash flow was up 26% over the prior year. Organic revenue growth, excluding acquisitions and FX was up 21%. Our operating margin was up 30 basis points from the prior year, attributable to continued productivity and leverage as well as foreign exchange benefits which more than offset the impact of negative mix and investments we made in product development and marketing. With that, let me turn to our non-GAAP guidance for full year 2008 and for the first quarter. For full year 2008 we expect to generate revenue of $8.5 billion to $8.75 billion, non-GAAP EPS of $1.63 to $1.67 and generate free cash flow of $2.3 billion to $2.4 billion. The expected revenue represents year-over-year growth in the range of 11% to 14%. Our guidance reflects some of the momentum we carry from 2007 and some of the challenges we face in 2008. First, we expect continued momentum in our PayPal, advertising and classifieds businesses. Each of these businesses grew rapidly in 2007 and while we feel great about the progress, we expect the growth will come off these ‘07 levels. Second, our GMV-based business in our three largest markets will be challenged and John discussed a series of bold actions we would take. As part of these moves, we plan to implement pricing actions which moderately reduce our take rate and customer loyalty programs which are reported as contra revenue. These factors will contribute to growth slowing a bit. Third, ecommerce is expected to decelerate in 2008 and we’ve taken a cautious outlook for consumers’ spending in our major markets. Finally, our guidance excludes any significant impact from M&A activity in the year. We expect our operating margins for full year 2008 to be approximately 32%, around 1 point lower than 2007, while productivity and leverage will offset our increased investment and the impact or pricing actions, they will not be able to offset business mix working against us as our lower margin businesses, PayPal and Skype, grow significantly faster than Marketplaces. Non-GAAP EPS growth is expected to be in the range of 7% to 9%. Excluding the one-time tax benefit in the third quarter of 2007, non-GAAP EPS growth is expected to be in the range of 9% to 12%. GAAP EPS is expected to be in the range of $1.27 to $1.31 with the difference primarily being stock-based compensation expense and amortization of intangibles. We anticipate we’ll generate $2.3 billion to $2.4 billion of free cash flow in 2008. Our strong cash position at the end of last year, coupled with strong expected cash flow generation, will give us the flexibility to pursue the strategic acquisition and continue with opportunistic share repurchases. In the first quarter, we expect to generate revenue of $2 billion to $2.05 billion and non-GAAP EPS of $0.37 to $0.39. GAAP EPS is expected to be in the range of $0.28 to $0.30. In summary, we’re pleased with our Q4 and full year 2007 performance and we will carry that momentum into 2008. As John said, we’re clear about the challenges we have in front of us, we’re clear on what needs to be done in order to accelerate future growth in our eBay business and I believe we have the best people in place and focus on our most difficult challenges. Our focus will be on executing our strategy to extend our leadership position in ecommerce and in addition we’ll continue our efforts to diversify our revenue streams. We believe the financial architecture of the plan will allow us to invest in and make necessary changes to our business while still delivering top line, bottom line and free cash flow growth to our shareholders. Now we’d be happy to answer your questions. Operator? 
Operator: (Operator Instructions) Your first question comes from Scott Devitt - Stifel Nicolaus.
Scott Devitt - Stifel Nicolaus: First could you talk a little bit about eBay Express? Some of the recent search integration of Express on core eBay and how you may be able to segment the marketplace between core eBay and Express over time? Separately on the coming pricing adjustments, if you exclude gallery initiatives, can you talk a little bit about whether the focus on shifting risks from listings to success is going to be exclusively on fixed price listings or whether you plan to shift risk toward the back end in auctions as well? Thank you.
Meg Whitman: So you want me to take eBay Express and maybe you take the pricing, John?
John Donahoe: Sure.
Meg Whitman: So eBay Express, interestingly enough, had quite a successful year in the US and I think what it demonstrates is that a seamless, very convenient, fixed price shopping experience is good for our buyers and they like it. What we’re going to do in 2008 and beyond is actually more deeply integrate our fixed price offering into what we call the river of traffic, the 80 million eBay users that come to the site so that they have a chance to see those listings. So eBay Express was the right strategy not showing it to all 80 million users is something that we need to fix in 2008 and I think you’re going to see John and the team really roll out a more integrated fixed price auction offering that uniquely displays those two formats in a uniquely eBay way. Do you want to talk about pricing?
John Donahoe:  Just to add to that the way I’d say it is eBay Express has been a fantastic learning laboratory and we’re going to take those learnings and pull them into core eBay’s fixed price experience. On the pricing, Scott, the rebalancing of pricing will apply to both fixed price and auctions.
Operator: Your next question comes from Imran Khan - JP Morgan.
Imran Khan - JP Morgan: Meg, best wishes in your new venture, and John congratulations on your new role. It seems to us that some of your competitors are doing some of that to reduce the consumer friction, buying friction by introducing prime shipping or free shipping or one click shipping. In your business model how do you think you can improve the user or buyer’s experience or reduce friction? I think John you talked about some of the initiatives and gave some color. Bob, you talked about that in terms of your guidance you have been conservative and taken into consideration consumer spending slowdown. If I look at the last three years you have exceeded your high end guidance by an average of 5 percentage points. Can you give us some color on what kind of conservatism you are baking in in terms of consumer spending slowdown? Thank you.
John Donahoe: Why don’t I take to your first question, Imran? With respect to reducing friction and shipping, obviously we run a marketplace and so we don’t control shipping; our sellers do. Now the good news is we have millions of sellers that provide reasonable, fast shipping. What we intend to do in 2008 is alter our policies such that we will incent and reward those sellers that provide the best shipping, cost and speed. The reason we can do that is the change we made in 2007 around feedback with detailed seller ratings, created user-generated feedback for the sellers on shipping timing and shipping cost. We now have a database, if you will, to be able to use that information in search and in other areas so that those sellers that provide reasonable fast shipping will show up higher in search results and be rewarded and provide a better buyer experience. We tried to address this in a very eBay way.
Bob Swan: Imran on the top line guidance for 2008, our guidance is about 11% to 14% top line growth. As it relates to the economy, as our business becomes more and more diversified, we believe we are increasingly sensitive to economic conditions. When we put our guidance together the words I would use is we were cautious in terms of looking at what’s happening particularly here in the US and developing what we thought was the best case plan based on what we know today. I hope that 12 months from now that we will outperform our guidance again. That being said, we thing the current guidance best reflects all the information we have as we know it today.
Operator: Your next question comes from Doug Anmuth - Lehman Brothers.
Doug Anmuth - Lehman Brothers: What gives you confidence that the new find technology is strong enough to handle the likely increase in listings you’ll likely see with the lower listing fees? I think Bob alluded to customer loyalty programs going forward. If you could potentially elaborate on that? Thank you.
John Donahoe:  Sure, I’ll take the first and then Bob will take the second. On the find technology, as I said earlier, we’ve learned a lot around relevance-based search from our work in eBay Express, from our work in Korea. We’ve actually rolled out Best Match, which is really our version of relevance-based search in France. So we feel confident that we are going to be able to handle both the increase in fixed price listings as well the ability to serve them to buyers in a way that brings the best value and highest service right to the top. It’s interesting, Rajiv is going to be taking over the Marketplaces business and he’s already talking about the race to the top of the highest value, best service, fixed price listings for our buyers. We learned from our experiences in 2006 that you can’t get one side of the equation right without the other. I think we’ve got the ingredients in place so that in 2007 we feel like we can make subsequent progress in improving the fixed price experience. And do that alongside of the auctions experience. We still have this fantastic auction experience where the core search will continue to be so we feel like it’s the best of both, which is uniquely eBay.
Bob Swan:  In terms of the question on customer loyalty, we have this massive user base and our focus is on getting our existing users to be more active and more frequent in their shopping. We believe one of the best ways to do that is with a loyalty program to reward and motivate our top buyers and we’re going to be rolling that out during the course of 2008. The implications in terms of how we account for that, particularly as it relates to couponing it will be a contra revenue that all else equal would lower the top line growth.
John Donahoe:  Bob, let me just build on that because I think our plans around customer loyalty go beyond just the couponing, that’s the one that’s going to hit the revenue figures. Our top buyers believe they are deeply loyal to eBay, they want to do more business with eBay and we need to make it easier for them to do that. That is where you see some changes to our feedback system. That’s where we are providing better customer support for our top buyers, that’s where PayPal can come in and provide them complete guarantees. So we have a number of things in store that I think really take advantage of cementing our relationship with our most loyal buyers.
Doug Anmuth - Lehman Brothers: Are you able to quantify that at all, the customer loyalty in terms of how that’s factored into your current guidance?
John Donahoe:  All I can say is it’s factored into our current guidance.
Operator: Your next question comes from Heath Terry - Credit Suisse.
Heath Terry - Credit Suisse: You’ve talked about what you learned in the form of relevance-based search in France as you introduced Best Match; you have also introduced Best Match in a few categories here. Can you talk about the early metrics on what you’re seeing for the categories where Best Match has been applied and if you’ve done testing beyond that where you can give us an idea of what kind of early results you’re seeing. I would certainly appreciate that.
John Donahoe: Let me just say upfront that the relevance-based search and Best Match is not going to be a silver bullet. This is not something that we’re going to sort of turn on overnight into this gigantic eBay ecosystem and it will be a silver bullet. We have rolled out relevance-based search in Korea in a fixed price market and seen a real acceleration of growth in that particular market. In France, we are seeing Best Match increase the ability of buyers to find what they would like, either in the auction format or in the fixed price format, and we’ve seen an increase in successful items in GMV. So we are encouraged by the results. As we roll this out in 2008 we’re going to both be aggressive but also balanced and thoughtful about how we do it because we are conscious that we have the world’s largest e-commerce platform with $60 billion of gross merchandise volume going through it and search is a core functionality. So we’re learning aggressively, we’re going to be more aggressive in ‘08 than we have in ‘07, we are encouraged by the early results and we think, as Bob said, by the end of the year that we’re going to be in a much stronger position to bring both a great auction experience with a great fixed priced experience to our millions of buyers.
Operator: Your next question comes from Brian Pitz - Banc Of America Securities.
Brian Pitz - Banc Of America Securities: With respect to listing fee reductions, can you talk about the potential for a total elimination of listing fees or specifically in certain categories, especially given competing sites that are out there that do not charge listing fees upfront? Can you talk about the acceleration of advertising during the quarter? Any color on specific initiatives here? That would be quite helpful to us. John, congratulations and good luck on your move.
John Donahoe:  Thank you, Brian. I will take the listings fees and you can talk about advertising. Brian, I will remind you that on listing fees, the pricing that we announced early in the year will, as Bob said, shift the balance but there will still be insertion fees because we think that in our core format insertion fees is still important to motivate sellers to price items well. I will remind you that we have a store inventories format which is a way where sellers can list items at a significantly lower price. The insertion fees today in the stores item format in the US $0.05 per month. We have a format that allows sellers to upload large numbers of listings and do that in a way that has lower upfront fees and higher final values fees. I think as we evolve and go through the year, you will see us build on this learning and begin to bring these products together in a way that we balance finding, insertion fees and the right format.
Bob Swan:  Brian on the second question on the advertising and the other related performance in the quarter, it has been a continuation of what was demonstrated throughout the course of the year where essentially our advertising business has doubled year over year each quarter and has demonstrated continued momentum throughout the course of the year. It’s primarily driven by the relationships with Yahoo! for both text-based and graphical ads here in the US and Google internationally with text-based. So, this is one that you will remember a year ago we were talking about testing; a year later really good performance on advertising. We expect that to be a source of revenue growth as we go through the course of this year as well.
Operator: Your next question comes from Robert Peck - Bear Stearns.
Robert Peck - Bear Stearns: The changes in the fee structure, have you said that is going to be site-wide or is it going to be category-specific? I was wondering if you could also maybe quantify for us a little bit more on what you’re seeing as far as the impact to conversion rates, ASPs, and listings?
John Donahoe: We’ll be announcing the fee structures for US, Germany and UK next week and so they’ll be site-wide changes. In some countries there’ll be some category dimensions to it and others it will be less so. What we’ve tried to do is take the testing we did last year in Germany, UK and US and while there’ll be some similar principles across all three we tried to customize the actual pricing to what we learned in each country and to how users, both buyers and sellers, responded.
Bob Swan:  The second component of your question, I would characterize what we saw in the aggregate across all of our different pricing tests around the globe essentially was a modest increase in listings. The fourth quarter you saw for the first time in four quarters a growth in listings and part of that was attributed to the pricing tests we’ve done. Secondly, modest improvement in conversion rates as well. So as John referred to improvements in successful listings for successful items, it was a function of both: modest listings growth and modest improvement in conversion as well.
John Donahoe: And then ASPs, because what we’re trying to do in the pricing is also incent listings at the lower price levels as well as higher price levels. We saw ASPs come down a little bit but GMV, while up, came down a little bit less. So part of our goal here is to build real marketplace with vibrancy at all price levels, and we think our tests show that we have the ability to do that.
Robert Peck - Bear Stearns: John, how do you assure it is quality listings? I think one of the concerns is that as the listing fee comes down, you get flooded with a bunch of stuff that maybe consumers don’t want to see. How do you control that you actually get increased quality on the site?
John Donahoe:  I think that’s a very good question. That’s why we’re keeping the insertion fee in the first part of the year and as we implement more finding changes, inventory that’s not well priced will never get exposure. So just in the fixed price format, inventory that’s not well priced will get less and less exposure. Auctions, obviously, are guaranteed exposure because time ending soonest and that by definition allows the best values to rise to the top in the fixed-price format. What we didn’t do in ‘06 but what we will do in ‘08 is ensure the motivation through Best Match where only the best priced items with the highest service levels rise to the top of exposure.
Operator: Your next question comes from Jeffrey Lindsay - Sanford Bernstein.
Jeffrey Lindsay - Sanford Bernstein: The step down in revenue growth from 29% down to 13% growth is starting to look less like a growth play for the company overall and more like a value play. Could you comment on, is the company likely to accelerate plans discussed in earlier quarters to restructure the balance sheet and take on debt and become more of a value play, basically using the debt to buy back stock? Is eBay considering any new initiatives to stimulate growth of its third-party business? Thank you.
Bob Swan: First, just a point of clarification on growth rates. 2007 29% growth rate on an FX organic basis, which I think is the appropriate compare, was 21% in 2007. So, the differential growth rate maybe not as wide as you suggested. Secondly, we end 2007 with a great balance sheet; $4.3 billion in cash, essentially zero debt and over the last several quarters we bought back a significant number of shares and have taken steps to ensure that despite the fact that our strong cash position isn’t all in the right places to ensure that we have the flexibility to continue the buyback program. Today, we announced an increase in the overall buyback program by another couple billion dollars so our intentions continue to be opportunistic. As it relates to further moves in balance sheet or levering up, we have a great cash position, we will use it to invest and grow the business and we’ll also use it to opportunistically buy back stock.
John Donahoe:  Jeffrey, on your second question I want to make sure I understand. When you say stimulate our third-party business could you be more specific in what you’re referring to.
Jeffrey Lindsay - Sanford Bernstein: Yes, really the people who basically are store sellers. Could you comment on where picking up the migration basically of some business to Amazon’s third parties sales and could you comment on that and what steps you might take to stimulate that business in the year?
John Donahoe:  Yes, our Stores business is experiencing strong growth and our sellers like that format. Particularly to lift, as we talked earlier, those items that have very low insertion fee and longer duration. What we have begun to do in Q4 and we will also do in 2008 is where it’s appropriate increase the exposure of the store inventory. So for instance, if you do a search for -- I grew up in Chicago so I was a big fan of Ernie Banks in the 60’s, --so for an Ernie Banks baseball card and our core format only had 10 items, yet we have 30 of them in the store’s format, we will show the store’s format in core search. We are increasing the exposure of our store’s inventory in those places that make sense, and we’ll continue to do so in 2008 and we’re coming down that learning curve on I think finding the right search approach so that we can give the best to both, both core and stores.
Operator: Your next question comes from Mary Meeker - Morgan Stanley.
Mary Meeker - Morgan Stanley: Dave and I have a couple questions, and John the question is not who is Ernie Banks. Meg, thanks for building such a great business it’s been really inspiring to watch. A question for you is why change now? Question for Bob, obviously revenue growth forecasts for ‘08 are below consensus but the operating margin percentage is the same as we think people were forecasting. You talked about productivity improvements, how should we think about that? What are they? John, you talked about the growth opportunities for PayPal, Skype advertising, StubHub, etcetera, and the key issue for ‘08 will be determining the eBay core growth rates. You talked about the pricing changes, but is it your expectation that we could potentially get to double-digit listing growth which would be a nice acceleration from where we are today, which could obviously bode well for financial results in the second half of this year and into next year? Thanks.
Meg Whitman: Thanks, Mary. It has been an incredible journey for me and I’ve been honored to be able to lead eBay and serve our community for ten years. But as I’ve said almost since I came to eBay that I thought ten years was about the right amount of time for a CEO to serve in this industry. With the remarkable underlying technology change, competitive change, I think it’s important that a new perspective and new eyes come to the company. I think it’s tough to stay fresh after ten years no matter who you are. So I’ve been thinking about this for sometime. Three years ago I brought John into the company and we’ve worked very closely over the last three years. He’s done a great job leading the biggest part of our business and bringing a new process and a new thought process to eBay and I thought John was ready, the board thought John was ready and I felt like it was the right time to turn over the reins. and I think as you can see, we’re in very good hands.
Bob Swan:  Mary, in terms of operating margin our guidance reflects roughly 32% operating margin which is down about a point from last year. The way our plan is built is we will generate significant productivity and leverage. However, our intentions are to reinvest that back into our customers. Whether it’s through pricing actions, whether it’s through improved loyalty in buying experience, it’s generating productivity and reinvest back into our customers. Where our margins will go down in 2008 is primarily a function of mix. PayPal will continue to give us strong growth, Skype will exhibit strong growth, both faster than the marketplaces. As a result, margins purely from mix will decline on a year-over-year basis. In terms of where the productivity will come from a few things, things that you’ve seen during the course of 2007. G&A leverage; we’ll continue to get good momentum on G&A leverage. We’ll be more and more efficient with our sourcing buy. Investments in technology to improve our risk models and bring down fraud losses are three of the key components that will drive efficiencies during the course of the year.
John Donahoe:  Mary to your third question, we couldn’t agree more that the core eBay business and re-accelerating growth in core eBay business is critical. It is my number one priority. It’s the company’s number one priority. That’s why Rajiv and Lorrie Norrington, we’re putting our all-star team on it. With respect to listings growth, listings growth will be one indication. I’m not sure it’s going to be the best indication because over time we envision the fixed price format, that multi-item listings may be more prevalent. So we’re going to be focusing on sold items because sold items show the real velocity of trade on the site. We’re confident we’re going to make progress in 2008 and we intend to be in a stronger position coming out of the year than we are going in.
Dave Joseph – Morgan Stanley: Obviously we love the changes that you’re making to the site and improving the product and leveraging technology to govern quality, but one overriding issue continues to be demand. It looks like active users decelerated again about 2% year over year in the fourth quarter despite actually having launched a new marketing campaign in mid-September. I am wondering if you could give us a little bit of color on how the marketing campaign went but also that seems like a fairly big issue for 2008 and how you might be able to address that. We know coupons is one, but what else might you be able to do?
John Donahoe:  I’ll remind you that in the fourth quarter we had 80 million online shoppers come to our site, so the scale of our traffic is still significant and I believe excluding 83 million and excluding Taiwan and China was up 7%. What we are really focusing on, this is why we are focusing on the buyer experience because continuing to improve our buyer experiences is going to allow us to retain our current users more effectively and we have some strong and loyal users and to attract new users. People who maybe new to eBay, are more familiar with more standard ecommerce formats and have trouble getting started on our site. We think we can improve the ease and safety of shopping on eBay and that is going to allow those new users to convert to ongoing users. With respect to our marketing dollars, we are going to continue to allocate our marketing dollars between online marketing, which is our biggest investment, investing more in more loyalty oriented and then we will do some offline in 4Q08.
Operator: Your next question comes from Ben Schachter - UBS.
Ben Schachter - UBS: Given the amount of changes that the site is going to be going through in Q1 and probably throughout the year, why not give yourself a wider range in terms of the guidance? What gives you confidence that you can accurately predict how these changes are looking to impact the site? Maybe answer that in context of how well you predicted the big changes that happened in Q4? Thanks.
Bob Swan:  In terms of the guidance we gave, we have tried to take into account the momentum we have seen in some of our non GMV businesses. In our GMV business we have tried to take into account the actions that we are going to take both -- the actions we took in the fourth quarter, the lessons we learned from them and how we incorporated them in our 2008 plan. So we are trying to take the best of what we know and what we have learned and give you a range of guidance that we feel we can deliver on in the course of 2008.
Operator: Your next question comes from Justin Post - Merrill Lynch.
Justin Post - Merrill Lynch : I will go over to PayPal because there hasn’t been a lot of questions about that. When you look at the mix, clearly merchant services is growing faster. Can you compare the difference between the funding expense as well as the take rates between merchant services and on eBay? Obviously PayPal is a big asset for the company. Can you give us any thoughts on where your margins are today and where you think they can be over time in that business just to help us get an understanding of what this part of your business can be worth long term?
Bob Swan:  PayPal, a great quarter and great year with merchant services growing even faster than the core business. In terms of funding mix or funding expense, not dramatically different between eBay versus non-eBay; it’s more a function of products which we offer and we see some distinctions in terms of product mix. What we know is over time, time is a key metric, the more PayPal is offered by a merchant and used by a consumer the better the funding mix gets over time. In terms of -- the second portion of your question?
Justin Post - Merrill Lynch : The pay grade difference?
Bob Swan:  Yes, we indicated a couple years ago that we believe the long-term margins for PayPal are in the 20% to 25% range and during the course of ‘07, we’ve made substantial investments to accelerate the growth of PayPal and in particular merchant services and we’ve seen, as I indicated earlier, we’ve seen some pretty good improvement in sequential margin growth from Q3 to Q4 and we expect that to continue during the course of 2008.
Operator: Our final question comes from Christa Quarles - Thomas Weisel.
Christa Quarles - Thomas Weisel : On the conversion rates and ASPs in Q4 the lift was a lot smaller than the last three quarters, I think it was 0.4%. It sounds like John you made some comment about improving the robustness of the lower ASP items. I was just wondering if you could maybe finer slice the conversion rate versus the ASP impact in the quarter there? The second question was just also on PayPal, you guys did a fair amount of promotional activity in the fourth quarter. I was just wondering if you could be more specific as to whether you felt that enabled you to gain share and how that is likely to be positioning yourself going forward? Thanks.
John Donahoe: On the first question, the primary difference in the fourth quarter on conversion rate and ASP was really comps. Last year in the fourth quarter we had a fantastic improvement on conversion rate and ASPs, particularly driven by the hot consumer electronics in fourth quarter of last year. So this years’ fourth quarter was just a much tougher comp, so we feel pretty good in light of that that even though listings went up, conversion rate still held and marginally improved. In terms of PayPal generally, again 66% growth in merchant services during the fourth quarter as we continue to invest both in merchant adoption and consumer adoption and we believe that bodes well as we go into 2008. As I indicated, PayPal will be a big part of the growth story in 2008 and we will continue to expand not just PayPal on eBay and off eBay with Merchant Services but also leverage that huge user base to add new products and features like PayPal Later that we just introduced several months ago.
Christa Quarles - Thomas Weisel : Just one quick follow up on the conversion rate comment, if you comped over some of the low-hanging fruit where do you see additional growth expansion on the conversion rate?
Bob Swan: We’ll go back a few years and say conversion rates several years ago used to be much higher than they are today and we believe as we make the appropriate steps on the user experience and the actions John talked about in terms of engaging our buyers more effectively that we still have more head room to improve conversion rates as we go forward.
Meg Whitman: Thank you very much for listening today and I’m delighted to turn over the leadership to John. Thanks for coming today.